Ingela Ulfves: Good morning, everyone. A warm welcome to Fortum’s Webcast and News Conference on our First Quarter 2025 Interim Report. My name is Ingela Ulfves, and I’m heading the IR at Fortum. As always, this event is being recorded, and a replay will be available later today on our website. Our CEO, Markus Rauramo; and our CFO, Tiina Tuomela, will present the group’s financial and operational performance during the first quarter 2025. And after the presentations, we will then again open up for questions in our Q&A session. Happy to hand over to Markus to start.
Markus Rauramo: Thank you, Ingela. Warm welcome to our investor and media call also from my side. I will start by going through the key elements of our highlights, financial performance and market fundamentals. After that, Tiina will provide more details, especially on the financials and how this turned into our results. Let me now start with the highlights. Despite the lower Nordic spot prices, we were able to reach a very good achieved power price of €60.1 per megawatt hour. Our achieved power price was supported by a robust double-digit optimization premium above last year’s level. Due to increased power price volatility on the Nordic market, we also update our annual optimization premium to €7 to €9 per megawatt hour for the year 2025. For the following years, we keep the level at €6 to €8 per megawatt hour. The optimization premium mainly consists of the physical optimization of our hydropower fit and the sale of environmental values such as guarantees of origin, which typically see a peak in the first quarter. Despite the good hydrological conditions in the Nordics, Fortum’s hydro generation was below the long-term historical average. The weaker hydro generation dose that it is likely that our annual hydro output will fall behind the normal annual level of approximately 20 terawatt hours. Also nuclear volumes were lower, negatively affected by outages. In addition, there have been announcements of both extended and unplanned outages that will negatively affect volumes during the rest of the year. Our forecast for nuclear volumes for the remainder of this year has decreased by approximately 1.4 terawatt hours from previous quarter. Regarding our strategy implementation, we continue to develop our Renewables pipeline. As part of this, we concluded the acquisition of Enersense’s project development portfolio for renewable power. We also initiated a 2-year feasibility study to explore possibilities for flexible pump storage hydropower in Sweden. Earlier in the quarter, we announced the results of our extensive feasibility study, exploring the prerequisites for new nuclear in Finland and Sweden. The study concluded that with the current power market outlook, new nuclear is not economically viable on a merchant basis. However, we continue to develop new nuclear as a long-term option. Our efficiency program is proceeding as planned. We will come back to more details on it later on. As you might have noted, last week, we also announced the acquisition of the Polish electricity solutions provider, Orange Energia. Through this transaction, we doubled the customer base of our Consumer Solutions business in Poland. Further, we now have also signed an agreement to divest our renewables development platform in India. Our financial position remains very robust. At the end of the first quarter, our financial net debt was practically 0, and our leverage ratio stood at 0.0x. This reflects our proven track record to create more stable income through hedging and optimization premium in combination with disciplined capital allocation. In terms of the operating environment, uncertainty has increased this year due to ongoing geopolitical conflicts and turbulence caused by, among others, the U.S. tariffs plans. However, we continue to see robust underlying demand from customers in various industrial sectors. We believe that this reflects the power demand growth longer term. Currently, customers are mainly focusing on short and midterm contracts over the next 3 to 5 years with lower volumes. This is also seen in the fact that we have not signed significant new power purchase agreements recently. Then over to our main figures and financial KPIs. These are all familiar comparable headline KPIs for the group’s first quarter 2025. Considering all external factors, I’m satisfied with our performance. I’m especially happy about our value creation from our ability to optimize our Generation fleet. Our comparable operating profit declined in the first quarter. Lower power prices and lower volumes negatively affected the result of our Generation segment. Comparable operating profit for the group amounted to €462 million in the first quarter of 2025. Our comparable EPS also declined on the quarter and was €0.42 per share. The operating cash flow was at a good level, however, decreased to €453 million. Finally, on the balance sheet and most importantly, our leverage. Defined as financial net debt to comparable EBITDA, leverage was at 0.0x at the end of first quarter 2025. Next, a few words about the commodity markets, starting from the gas market. European gas prices surged to €59 per megawatt hour in early February due to supply risks as the Russian pipeline gas via Ukraine ended, which resulted in significant storage withdrawals. However, towards the end of the quarter, gas prices declined as geopolitical tensions momentarily eased, storage regulations became more flexible and supply to Europe increased following high LNG availability from reduced Asian demand. European TTF front month prices averaged €47 per terawatt hour in the first quarter, up 9% quarter-on-quarter. The high volatility in Nordic spot price continued during the first quarter, mainly driven by the variation in the wind power output. The precipitation amounts in the Nordics were close to normal. The high Nordic temperatures, 2 degrees above normal, resulted in very high inflows, 11 terawatt hours above normal. Hence, the hydro situation continued to be very high as hydro reservoirs became extremely well filled, especially in the northernmost hydro areas, but also in the Southern Norwegian reservoirs. The reservoir balance surplus in Norway and Sweden increased to 21 terawatt hours, which is the highest Q1 level seen in many decades. The high Nordic temperatures led to lower-than-normal Nordic power demand. All of this together resulted in low spot prices, except for some periods when the Nordic spot coupled with the continental spot prices. Overall, the Nordic futures market declined somewhat over the quarter, especially for the summer quarters, driven by the soft Nordic weather fundamentals and a slightly lower continental prices due to declining gas prices during the second part of the quarter. In the first quarter, softer Nordic market fundamentals in combination with strong wind power growth increased spot price volatility. This again lowered the capture rate for wind power, while it increased for hydropower. Then I would like to hand over to Tiina to tell more about business performance.
Tiina Tuomela: Thank you, Markus. Good morning, everyone, also on my behalf. I will now go through our financials in more detail. Let’s start with the key financials. So I will first comment on some of the comparable KPIs. The comparable operating profit for the first quarter amounted to €462 million. In the first quarter, our comparable net profit and comparable EPS decreased, which is reflecting the lower result in the Generation segment. Our comparable net profit for the quarter declined to €374 million. Consequently, our comparable EPS for the first quarter declined to €0.42 compared to €0.48 last year. EPS for the last 12 months is now at €0.94. Our cash flow during the quarter declined by €85 million and totaled €453 million for the first quarter. Our cash flow was strong and despite the decrease, our leverage came down further with financial net debt to comparable EBITDA at 0.0x at the end of the quarter. As the dividend was paid now in the second quarter, it is also – it is not visible in these numbers. So the payment will increase leverage somewhat for the next quarter. If adding the €1.3 billion dividend to the net debt at the end of the first quarter, financial net debt EBITDA would have been approximately 0.9x. Let’s move over to the income statement to look at certain items in more detail. Starting with our efficiency improvement program. In 2024, our fixed costs showed a small decrease and that trend now continued in the first quarter of 2025. In the first quarter, fixed costs were €200 million. We have earlier communicated that the 2026 fixed cost base will be €850 million, excluding increase in Swedish property tax. Good also to keep in mind that we have actions in place to develop our business and prepare for growth, which means that fixed cost will still increase during this quarter year – this year. When looking at the associated company results and financial items, there were some one-off type items in them, which we have reported in detail in our notes in the report. The comparable operating tax rate was within the guided range at 18.9%. Then over to the result waterfall for comparable operating profit. Let’s look at the waterfall for the first quarter comparable operating profit of our segments. Compared to the previous year, the result in our Generation segment decreased, while both Consumer Solutions and other operations segment improved. In the Generation segment, comparable operating profit decreased by €77 million to €436 million, mainly due to the lower spot and hedge power prices, lower hydro and nuclear volumes and somewhat higher property taxes in nuclear and hydro in Sweden. The negative effect from the price and volume components was partly offset by the double-digit optimization premium. The result contribution of the Pjelax wind farm was positive, but lower than in the comparison period following lower power prices. The result in the district heating business improved mainly due to the lower fuel and CO2 costs, partly offset by lower sales power prices. Our Consumer Solutions business recorded an all-time high quarterly result. Comparable operating profit increased by €5 million to €47 million mainly due to the improved gas margin in the enterprise customer business in Poland and due to the synergies of some €6 million from the completed brand mergers, including Telge Energi. This was partially offset by higher depreciation and amortization of customer acquisition costs. Regarding cost synergies, we have guided for the year 2025, we expect to see a total of approximately €13 million materialized from the implemented brand mergers. In the Other segment, comparable operating profit improved by €5 million and was €20 million negative. The main reason was higher internal charges for services from enabling functions. The result of the Circular Solutions business was at the same level as in the comparison period. Our financial position continues to be very strong, which primarily supports our objective to maintain a credit rating of at least BBB. It naturally also provides a good financial foundation in this uncertain and turbulent market environment. When considering our capital allocation principles, we balance between leverage, investments and dividends, while always keeping the credit rating in mind. I want to go through the reconciliation of our financial net debt in the first quarter. At the end of the last quarter, our financial debt was €367 million. In the first quarter, the operating cash flow was €453 million, and investment amounted to €115 million. As mentioned before, we did not pay any dividends in the first quarter. It will be visible in the second quarter. The change in interest-bearing receivables amounted to €15 million, while FX and other effects were €2 million. So at the end of first quarter, our financial net debt was €13 million, and the leverage ratio for financial net debt to comparable EBITDA was at 0.0x. Looking at our debt portfolio and the loan maturity profile, I want to highlight a few things. At the end of the quarter, our gross debt, excluding leases totaled €4.6 billion. Bonds are our primary source of funding. Our maturity profile continues to be balanced and there are no large maturities in any single year. The next maturing bond is €750 million in 2026. At the same time, our liquidity position is strong. We have ample liquidity reserves, €8.4 billion with €4.3 billion of liquid funds and €4.1 billion on undrawn committed credit facilities and overdrafts. The cost of our €4.6 billion loan portfolio is 3.6%, while the interest income that we get for our €4.3 billion liquid funds has come down and is now 2.5%. With the strong liquidity position, we will continue to optimize our cash and credit lines. The overall objective is to have sufficient liquidity, while optimizing the balance between debt and cash to minimize funding cost. So with this, let’s have a look at the updated guidance for our optimization premium for 2025. With this picture, we have presented the optimization premium. The optimization premium provides stable and predictable income from our outright fleet with balances earning in an otherwise volatile market with highly fluctuating prices. Just a recap. The main driver for the optimization premium is the flexibility in our hydro fleet, i.e., how we run it on an hourly, daily, weekly and seasonal basis. In addition, providing ancillary services to the grid adds to the income. Secondly, the sale of environmental values, mainly guarantees of origin, contribute to the stable income. As already mentioned earlier, the price volatility in the power market has increased mainly due to the higher share of wind. This you can see on the graph in the middle. The higher the volatility, the better possibilities for us to capture higher prices with our hydro fleet. Prevailing hydro conditions directly affect how much value we can capture from the price volatility. In the first quarter, our optimization premium was double digit and higher than first quarter last year. As this volatility is difficult to forecast, the future income is also hard to predict. However, at the moment, we have concluded that the annual optimization premium for this year will be higher than the previously given range of €68 per megawatt hour. Consequently, we increased the outlook to be in the range of €7 to €9 per megawatt hour. So this applies for the year 2025. For the following years, 2026 and onwards, we still keep the €6 to €8 per megawatt hour range. The increase basically means that the midpoint has moved upwards in the range. This further confirms the strength of our outright portfolio and the value of our hydropower fleet. Then over to the final sections, the outlook. The outlook section comprises for familiar elements: guidance for our outright hedges and optimization premium, taxes, CapEx guidance and our fixed cost reduction program. First, a reminder that our normal annual outright volume is approximately 47 terawatt hours, but as mentioned before, because of the announced unavailabilities in nuclear and lower expected hydro output, we will likely fall behind the normal historical output level this year. Then starting with the hedges. At the end of first quarter, the hedge price for the rest of 2025 was €40, and the hedge ratio was 75%. The reason for the 2 year or lower hedge price is that in the first quarter, higher price hedges materialized or were delivered, which affected the hedge price for the remainder of the year. The hedge price for 2026 is the same as last quarter at €41, while the hedge ratio increased by 5 percentage points to 50%. I just went through the change guidance for our annual optimization premium, so no need to repeat it. Good to note, however, that usually are quarterly variations, as you know from the past. The guidance for our corporate tax rate also remains unchanged for the years 2025 and 2026. We expect the comparable effective income tax rate to be in the range of 18% to 20%. We have left out the guidance for 2027 for now. The reason is that Finnish government reached a political agreement that decreased the corporate tax from 20% to 18% from the beginning of 2027. There is, however, no official law yet in place. Our very preliminary estimate is that if the new law would be implemented, this would result in a 1 percentage point decrease in the corporate tax rate from the year 2027 onwards. I also want to repeat that in Sweden, the property taxes are revised from 2025. For Fortum, the increase of the property taxes is now estimated to be approximately €30 million for the years 2025 to 2030. This means that the increase is €30 million in 2025 compared to 2024 after which, it stays at that level for a 6-year period, including 2030. A major part of this cost increase will be recorded in our fixed cost. Our capital expenditure remained unchanged. Capital expenditure for the years 2025 to 2027 is expected to be €1.4 billion. This includes maintenance, but excludes potential acquisitions. The annual maintenance CapEx is expected to be approximately €250 million for the guided time period and continues to be clearly below our depreciation level of approximately €300 million. Growth CapEx will be in the range of €150 million to €300 million per year, showing a declining trend between the year. Depending on how the general market develops and if the investment sentiment improves, we can always make new investment decisions. Finally, a few words of our fixed cost reduction program. As you saw, our Q1 2025 fixed costs were €200 million. We aim to reduce our recurring annual fixed cost base by €100 million, excluding inflation gradually until the end of 2025 with a new run rate from the beginning of 2026. The divestment in Circular Solutions, mainly Fortum’s recycling and waste business, reduced the group fixed cost base by approximately €150 million. In 2024, we implemented actions that reduced the recurring fixed costs paid by more than €60 million. Our current estimate is that the new run rate for our fixed cost base in 2026 will be approximately €850 million, excluding the increase in the Swedish property tax. We already took actions in 2024 to build preparedness for future growth, which consumed development cost of approximately €50 million. As Markus already mentioned, simultaneously, there are additional cost for growth in 2025. These are related for example, renewables development, site development, buildup of the commercial organization and the hydrogen pilot project. This was all for my presentation. And we are happy to answer your questions. So with this, Ingela, over to you.
Ingela Ulfves: Thank you, Tiina, and thank you also, Markus. So we are now ready to take your questions and we’ll begin the Q&A session. However, I just got some information that there would be some issues to get into the queue. I can see that there are a few of you already with a raised hand. But we are sorting – trying to sort out now what kind of a problem there would be for the rest of you to be able to ask questions. But I suggest we start and then let’s see how this develops. So, at least there is a few of you on the queue. So, moderator, please go ahead.
Operator: [Operator Instructions] The next question comes from Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Can you hear me?
Markus Rauramo: Yes, we can.
Deepa Venkateswaran: I am not able to actually hear you.
Markus Rauramo: Yes, we can hear you. Yes, go ahead.
Ingela Ulfves: She seems to have fallen off the line. If we take the next one?
Markus Rauramo: Okay. Let’s try again. Deepa, sorry about that, can you repeat your question, please?
Ingela Ulfves: I think she fell off the line, but let’s take the next one.
Operator: The next question comes from Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Good morning and thank you for the presentation. I just had a couple of questions. I am more thinking about just potential use of balance sheet. I think there has been some press commentary and you have first right of refusal on Uniper’s assets. I just wanted you to just maybe revisit on what your criteria when you look at these types of assets, just so that we are clear on what – how you are going to benchmark any sort of assessment that you are going to do on that side? And then just on this quarter’s performance. Is there any more of an unpacking you can give us on the optimization premium for this quarter? Was it purely just wind and the opportunity surrounding about that and therefore, very much one-off in nature, or are there any seeds in this quarter that may paint a better picture qualitatively for that guidance that you have beyond ‘26 that we should start to think about? Thank you.
Markus Rauramo: Okay. Thank you. And sorry about the problems in the beginning, luckily, we have faced bigger problems historically. So, I think we can manage this one. And I hope to get Deepa’s question also later on. But maybe I will start with the balance sheet and capital use question, and Tiina, if you want to take the later one on the optimization premium. So, with regards to balance sheet, we can use the balance sheet of – or the financial strength for the balance sheet for the rating. That’s in good shape. So, then the alternatives are organic, inorganic investments or dividends. And good to remember as a backdrop that despite the very good numbers, we presented the €1.25 billion dividend was then paid after that quarter. So, that will impact the balance sheet capacity. Then for the investments, whether it is organic or inorganic, we apply the weighted cost of capital plus 150 basis points to 400 basis points, whether it is acquisitions or whether it’s greenfield or brownfield investments. And we do anticipate growth in the Nordic power demand, so in steel, chemicals, aluminum, synthetic fuels, data centers, battery factories. And that’s why we have the substantial renewable pipeline, 5 gigawatts in permitting and more in planning plus the pump hydro plus potential new nuclear. So, we evaluate any potential acquisitions vis-à-vis the other opportunities we have. And then we apply the same criteria to all of those, maybe then over to Tiina.
Tiina Tuomela: Yes. Thank you. So, the optimization premium was very, very good in the first quarter, and as mentioned, mostly coming from the physical optimization. So, this is very much tied to the volatility in the market. And as we showed in the graph, so in the first quarter, the volatility increased in all our operating markets. I think this also reflects the last year, so the quarters are not that similar. So, last year the same kind of pattern that the first quarter was very strong, and that’s probably related to winter and the changes in the weather and also the hydro balance. The other element what was strong in the first quarter was the environmental values. As we have mentioned, we will sell forward the environmental values and now quite a bit of the environmental value sales realized in the first quarter. So, that supported also our optimization premium like in the previous year. So, in a way, I would follow very closely the prices of the environmental values, which will impact in, of course a bit in delay, but most of all, the volatility, what is in the market. So, I think the guidance for this year, 7% to 9% really picks up our current forecast and then, as said the longer term, this 6% to 8% still holds.
Ajay Patel: Thank you very much.
Operator: The next question comes from James Brand from Deutsche Bank. Please go ahead.
James Brand: Hi. Thanks for taking my question and well done on the good Q1. I had two questions. The first was that in the initial statement around the results, you highlighted that the geopolitical risks may pose challenges to major industrial investments. I was just wondering whether you could just expand a little bit on that and highlight whether you are actually seeing projects being postponed that would have been drivers of how demand growth and how confident you are in still seeing that how demand growth come through over the next few years? And then the second question I had is really, I guess a follow-up to the last question where you are highlighting strong environmental values in Q1. How far forward do you hedge the guarantees of origin? As obviously, the price was very high and then came down quite a bit, is there any detail in terms of what your typical – you don’t give too precise details, but what your typical forward hedging profile is there? Thank you very much.
Markus Rauramo: Again, maybe I will let Tiina continue on the environmental value, GoO part and I will take the geopolitical part. So, I mean generically, I would expect that this kind of turbulence and uncertainty with regards to tariffs and so on that, that would impact generically decision-making. Then also not being able to be super precise about this, but having now traveled the world somewhat and talking with the customers who are looking for the Nordics as a potential place to locate their business, what I pick up is that relatively when some areas are a little bit indicating that they may slip on their environmental targets and allow for us to continue, my read is that, that makes the Nordics look even more attractive relatively. And so what we can offer is one of the lowest power prices in Europe, one of the cleanest production portfolios already in Europe and a very good infrastructure. And if I take, for example, the data centers, data operators, what we hear from them is that they need chips, they need grid connections and they need power. Chips, of course is not our business, but what we can offer also through our site development is actually grid connections very quickly or they exist already today from 60 megawatts all the way to 1.3 gigawatts. And then we have the potential to offer the 47 terawatt hour clean portfolio, which is when you go a few years ahead, it’s mostly un-hedged, so it’s available, and then we have the potential to supply also new power. So, the fundaments are very strong. And what I see is that the brand owners, the companies, they continue to be very committed to their clean targets. So, I don’t really see hesitation with that.
James Brand: Thank you.
Tiina Tuomela: Very good. And then what comes to the hedging of environmental values. So, I would say that in principle, the hedging policy is pretty much the same as our normal power hedging. So, typically, 3 years to 2 years beforehand, we start to hedge. Of course, the environmental value in market, it depends also the price and liquidity, what is available, and we do that against our own price view, but pretty much in the same principle. So, we if possible, hedge also some part of the values beforehand.
James Brand: Alright. Thank you very much.
Operator: The next question comes from Harry Wyburd from BNP Paribas Exane. Please go ahead.
Harry Wyburd: Hi. Good morning everyone. I hope you can hear me, and apologies if I re-ask some questions because I switched over from the webcast back to the phone line. I may have missed something. So, a couple for me, please. Firstly, on the Uniper assets, so there was an article in the Financial Times on this. And I guess we have talked about this a lot before. It’s not exactly new, but it was interesting that the FT ran the story, and they are reasonably credible. So, I wondered, has anything changed there that you perceive in terms of the likelihood of you potentially looking at those assets? And then an allied question would be, if we looked at your balance sheet and in a scenario where you didn’t quite have enough balance sheet capacity to buy those assets, if you wanted to, would you ever look at raising equity or entering into some kind of financial partnership with another group to make a deal like that happen, or would you only ever look at doing acquisitions on your own balance sheet with your current equity base? And then second one, I think – and maybe you could clarify, but I think there was some kind of change to tax breaks or subsidies for data centers in Finland. And I wondered if you could just remind us what’s happened there. Has there been a loss of some kind of subsidy or tax break for data center operators in Finland this year? Thank you.
Markus Rauramo: Okay. So, with regards to Uniper assets, so I think what I read from the FT article and then the following reporting was that previously, the German government was exploring an IPO of Uniper because they need to reduce their shareholding to below 25% by 2028. And now they have commissioned advisors to look at also the potential for a bilateral sale. And I assume that this is what has then caused the additional reporting. From our point of view, the situation remains the same. So, we have the right of first offer. So, if the Nordic assets of Uniper would be put for sale, Uniper has to first show them to us. And generically, we continue to be interested in nuclear and hydro, also renewable assets. But for all of these, the same logic applies. So, we look at our balance sheet, we look at our return targets. So, any potential acquisitions have to meet our criteria and they would have to fit within the financial framework. I think that sets the boundaries for anything we are looking at, so within those frames. Also, no share issues in the planning. So, we have financial capacity to do – to implement that strategy and that is the framework. We do it within. Then on the tax break, so indeed, there are two different energy tax classes in Finland. So, there is the normal one, which is around €20 per megawatt hour, so €0.02 per kilowatt hour. And then there is a reduced one for heavy energy-intensive industries. And there was contemplation by the government that they may move data centers from the reduced tax class to the normal tax class. Now, the government just last week had them review, and they announced a wide variety of actions and tax reductions actually both on income and corporate tax side, which then go through the parliament. But they did not specifically comment on this potential change in the data center treatment. So, our understanding is that the analysis continues on that, so no definite news about that.
Harry Wyburd: Okay. That’s clear. Thank you very much.
Operator: The next question comes from Louis Boujard from ODDO BHF. Please go ahead.
Louis Boujard: Yes. Hi. Good morning. Thank you for taking my question. I was wondering two small things and maybe a bit more strategic one for the last one. First one regarding the nuclear output for the rest of the year, it’s been a bit difficult in the first quarter. Maybe could you give us some light regarding the potential output that we could expect for the remaining of the year, considering that there is some planned outage as well here to be expected? Also I was wondering if you could give us a bit more visibility regarding your streamlining strategy. You disclosed some assets in India, you are ongoing to do it, do you keep – or do you still have some assets that still to be – need to be streamlined according to you in the next few quarters? Are you close now to the most efficient that you could expect in terms of position in your strong market? And the last question would be more regarding your capital allocation. Eventually, you have an option, of course, on the assets on Uniper. But it is possible that this option never comes out? And at the same time, you have a very flexible balance sheet. In Europe, there is big need notably in grid development. And in the past, you used to be a grid operator as well. So, would you eventually consider reallocating your – some of your funds and your financing capacity into a new grid development, notably in Europe, considering the current needs of investment in this field? Thank you very much.
Markus Rauramo: Okay. Just checking the last question, I didn’t quite catch the very last sentence. So, maybe if you just want to repeat, consider allocating capital to what…?
Louis Boujard: For the grid, for new interconnection for development into the grid into distribution or transmission systems considering the need for investments and considering your balance sheet high flexibility, eventually, it could be a match uncertainty…
Markus Rauramo: Thank you. You can see that I am sensitized to certain words and grids have been out of our portfolio for a while, so I didn’t quite capture it. Thank you. Maybe, Tiina, if you want to take the nuclear output and I can take the streamlining and then the last question.
Tiina Tuomela: Yes. Alright. So, starting with nuclear output, so in the first quarter, we stated that there were some nuclear outages. And there was the normal Olkiluoto 3 outage, which started in Q1 like in last year. But in addition, there was the Forsmark 3 had additional or extended outage from the previous year. So, that – those are the main reasons for the lower output for the first quarter. Then I think what comes to the rest of the year, so there are the normal outages as planned. But then unfortunately, after the Q1 end date, so there have been several announcements of the extended outages. The biggest one relates to Oskarshamn 3, so they announced that they will have 50 days or nearly two months extended outage rest of the year. Also Forsmark 1 announced that they will have roughly one month additional outage rest of the year. And then also Olkiluoto 2 has had issues with the generator and the latest is that they will run with the reduced capacity, roughly 100-megawatt until the next longer outage. And if we count them together based on the UMS, what are in the market, so that will impact roughly 1.4 terawatt hours reduction from our normal kind of anticipated yearly nuclear output. But of course, the UMMs and the outages, so every company tries to, of course, optimize and do better for the outages, so those are probably the news very good to follow-up.
Markus Rauramo: Okay. And then actually, the two other questions, so both the streamlining potential and the potential expansion into grids, they go hand-in-hand in the sense that when we look at our portfolio, as we described it, we have our core businesses, growth in renewables, explore and non-core. So, if I start with the grids, that does not feature, so distribution does not feature either in our core portfolio, growth area or explore area. So, that is not something we are considering. In the explore side, we have the innovation and venturing and we have hydrogen and there we are – as you may know, we are doing the pilot project of 2 megawatts in Loviisa. Then for the further streamlining potential, so we did the big non-core business divestment, which was the hazardous waste, mostly the hazardous waste part of our circular economy business. There continued to be some assets that have some tens of millions of value that are in the, you could say, non-core, like remainders of the recycling waste and circular economy businesses. And these are not in the core or the growth areas. So, we talk about some tens of millions in that sector.
Louis Boujard: Thank you very much.
Operator: The next question comes from Anne Kauranen from Reuters. Please go ahead.
Anne Kauranen: Hi. Good day and thank you. You mentioned the possibility of divesting your Russian assets. So, I wanted to ask if there is any movement in that process that gave you a reason to bring it up now? And then secondly, could you talk maybe a little bit about your plans for Poland, because if I remember correctly, not too long ago, you were still planning to exit the Polish market completely. And now was it last week, you just acquired new consumer business there, so what’s your thinking on your future for Poland? Thank you.
Markus Rauramo: So, the first question regarding Russia. So, what are the important tracks we are following is that after the takeover of our Russian business from a management point of view, we have lost all control on the management, and we have no access to financial or production data. And therefore, we wrote down the business. We were in the process of trying to divest the business and exit Russia fully. And because of this, we have the ongoing arbitration for the ownership against the Russian Federation. And then we are claiming the unpaid loans and interest from the company directly. Otherwise, of course the world is turbulent, so we continue this. And potentially if there would be control over the shares so that they could be divested, then this is one alternative in addition. Regarding Poland, we have taken indeed steps both in the district heating business that we have in Poland as well as the consumer business. Poland is one of the largest markets in Europe, growing has to decarbonize with a lot of activity. And we – some months ago, we took the decision to invest in the decarbonization of the Czestochowa combined heat and power plant, so doing boiler retrofit and another equipment to be able to go fully on biomass. And then on the consumer solutions side, the Polish business is a good part of the cost business. And now we are doing a very synergetic acquisition of Orange Energia, which then doubles the number of our customers in Poland and gives us access to Orange’s sales network where their mobile sales network, so we can sell the Fortum energy contracts through their sales network. So, good access to customers through that. Poland continues to be an interesting market for us.
Anne Kauranen: Okay. Thank you very much.
Operator: The next question comes from Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Hi there. Thanks for taking my question. Hopefully, you can hear me this time around.
Markus Rauramo: Yes.
Deepa Venkateswaran: Alright. So, my two questions, I think the first one is a question on hedging. So, if I sort of look at the forward curve for your blended area region, they are generally below your incremental hedge price. And presumably, this is because you are signing OTC. Could you give us any rule of thumb on how we should be looking at the forward curve versus what hedges you are locking in, is it a 10% premium or any way to look at it? So, that’s the first one. And second one, just a follow-up on Poland. I recollect that you had price caps in that retail market and it was not very profitable, so why would you double down on a market with poor regulation?
Markus Rauramo: If I start with the latter one, so indeed there has been from time-to-time, changes in the regulation. But fundamentally, our consumer solutions business is profitable, doing well and now synergetic also with the acquisition. Then on the district heating market, the market is heavily best on fossil fuels, and we have been able to bring decarbonized solutions, both based on RDF as well as biomass for the Polish market. So, this is highly appreciated and our investments previously into Czestochowa, Zabrze, Wroclaw, which have been profitable and the further investments also will fulfill our profitability criteria. Then on the hedging, so it’s a good observation, how the forward curve versus our hedge ratios are working, so it has been a massive change from hedging almost fully through Nasdaq into almost hedging fully bilaterally. So, both our customers and we look at the forward curve and that basically forms some kind of an indicative basis for the hedging. And then in addition to that – so that is the underlying base for what it’s worth indicatively. And then on top of that, we get various kind of income on the profile based on what the customer wants, different environmental aspects, RFNBO and so on. And the further out we go in time, the higher the premium we need to compensate for the time and the uncertainty there. So, you could say that the forward curve is the base. There is a premium on top of that, that can vary quite a lot and the expected premium grows over time.
Deepa Venkateswaran: Thank you.
Ingela Ulfves: Okay. This was actually the last question. For this time, I am really happy that we managed to solve the technical problem. And I – to my knowledge, at least everyone who was dropped out of the queue got back there, so hopefully, everyone now has been able to ask the question. So, with this, I thank you for all your questions and for participating here today, and on behalf of our whole team, we wish you all a very nice rest of the day.
Markus Rauramo: And Happy 1st of May, Happy Vappu, and of course, if somebody didn’t get their question though, then Ingela and the IR team are available as usual.
Ingela Ulfves: Absolutely.
Markus Rauramo: Thank you very much.
Ingela Ulfves: Thank you very much.
Tiina Tuomela: Thank you very much.